Operator: Greetings and welcome to the Federated Hermes, Inc’s First Quarter 2021 Analyst Call and Webcast Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. . As a reminder this conference is being recorded. I would now like to turn this conference over to your host Mr. Ray Hanley, President of Federated Investors Management Company. Thank you sir, you may begin.
Raymond J. Hanley: Thank you. Good morning and welcome. Leading today’s call will be Chris Donahue, President and CEO of Federated Hermes; and Tom Donahue, Chief Financial Officer. And joining us for the Q&A are Saker Nusseibeh and Debbie Cunningham. Saker is the CEO of our International Business and Debbie is the Chief Investment Officer for Money Market. During today’s call, we may make forward-looking statements and we want to note that Federated Hermes’ actual results may be materially different than the results implied by such statements. Please review the risk disclosures in our SEC filings. No assurance can be given as the future results and Federated Hermes assumes no duty to update any of these forward-looking statements. Chris?
J. Christopher Donahue: Thank you Ray, good morning. I will review Federated Hermes business performance and Tom will comment on our financial results. Q1 was another quarter of solid performance for Federated Hermes with a challenging backdrop of the global pandemic and fluid markets including rising long-term rates and short-term rates falling to extreme lows. We executed successfully against the variables that we can influence. We produced solid sales results as we have over much of the last year during corona time. In fact, we achieved record high growth 5.6 billion and net 1.2 billion equity fund sales and total fund sales of growth of 15.3 billion. A recent Ignite Study noted Federated Hermes’ long-term mutual fund organic growth rate of 15%, and that ranks 7th in the industry for net flows over the 11-month period ended February 28 of 2021.  In Q1 our long-term strategies had net sales of 3.2 billion. We crossed over the 200 billion mark for long-term assets in the first quarter, finishing the quarter with a record high just under 206 billion of long-term assets. We also continue to grow our differentiated EOS at Federated Hermes engagement function. We added three new clients in the first quarter and assets under advice reached 1.5 trillion, up from 1.3 trillion at the end of 2020. Our staff level of engagers and other specialists reached 68, up from 49 in the first quarter of 2020.  Equity managed assets reached a record high of 96 billion and had net sales of about 600 million. Equity fund net sales of 1.2 billion were partially offset by net redemptions in a separate account of 600 million. Equity gross sales increased 38% from the fourth quarter and 28% over the first quarter of last year. We saw positive net sales in 19 fund strategies in the first quarter. Sustainable strategies managed by our UK teams drove the strong equity fund sales led by global emerging markets over 400 million, global equity ESG over 400 million, SDG Engagement Equity over 400 million, and Asia ex-Japan over 300 million. Other funds with net sales in the first quarter included impact to opportunities and MDT Small Cap Core. Our Global Emerging Markets Fund shareholders have been informed that the strategy will close to new investors effective June 15th. Existing shareholders will continue to be able to invest in the fund. 
Thomas R. Donahue: Thanks, Chris. Total revenue for the quarter was down from the prior quarter due to the increased negative impact of minimum yield waivers of 27 million, fewer days costing 9.3 million, and lower money market assets costing 6.4 million, and lower performance fees. This was partially offset by higher revenue from long-term assets of about 21.5 million. Q1 revenue included 9.4 million in combined carried interest in performance fees compared to 11.2 million in Q4. Now Q1 includes carry interest of about 7 million from variable interest entities associated with the HGPE acquisition that are being consolidated beginning in Q1. This carried interest is paid solely to certain current and former employees of HGPE and therefore is also recorded as compensation expense beginning in the first quarter. This amount represents the current and former employees carried interest since March 1st, 2020 acquisition date as we finalize the acquisition accounting for the transaction.  As noted in the press release, negative impact from operating income from minimum yield waivers on money market mutual funds and certain separate accounts may range from 35 million to 45 million during the second quarter. This range is based on gross yields on government money market portfolios of 3 to 10 basis points. The historically low yields are being driven by technical factors at the front-end of the yield curve. In March, we began taking on more of the impact of the low rates through waivers as we were not able to further reduce distribution expenses on certain funds and separate accounts. This was largely responsible for the higher than forecasted Q1 waivers and the higher forecast range for Q2. We believe that minimum yield waivers are likely to peak in Q2 and we expect short-term rates to increase in Q3 and Q4. The amount of minimum yield waivers and the impact on operating income will vary based on a number of factors, including among others interest rates, the capacity of distributors to absorb waivers, asset levels, and flows. Any changes in these factors can impact the amount of minimum yield waivers, including in a material way. As Ray indicated at the beginning, Federated Hermes is not undertaking any duty to update this information throughout the quarter. 
Operator: . Our first question comes from the line of Dan Fannon with Jeffries. You may proceed with your question.
Daniel Fannon: Thanks and good morning. My question is just on the outlook for fee waiver and so you talked about the peak being in 2Q and then dissipating or declining thereafter. And is it just the view of future rates or can you talk about the inputs that you are using to calculate or view -- come up with that view that the fee waivers will decline in the latter part of the year?
Thomas R. Donahue: Yeah Dan, I'll talk for a second and then Debbie will talk because it's the view of future rates is what's driving that and our sharing with intermediaries. 
Deborah Cunningham: Dan, this is Debbie. Some of the more specific factors about our outlook have to do with currently where overnight rates are trading, which is in the one basis point, maybe one to two basis range. If you go back to early in the 2021 year and throughout most of 2020 since the pandemic began, overnight rates have been somewhere in the neighborhood of five to eight basis points. Our expectation would be because of various processes that the Fed has already gone through by increasing their RRP counterparty limits per counterparty from 30 billion to 80 billion. They did that a couple of months ago by announcing their expansion of the potential counterparties that they will allow from a trading perspective with them through the RRP. We do believe that we will see some technical adjustments to that reverse repo rate, taking it from a floor of zero, which is to a large degree driving that overnight repo rate of one basis point right now, up to a level that's more like more like what it was post the financial crisis during the zero interest rate environment, which was five basis points. Commensurate with that would be likely an IOER  basis points. And what this does not only raises the floor from an overnight perspective by that amount of basis points, but it also raises the money market yield curve by upwards of probably three to five basis points depending upon what part of the curve you're looking at. So that plays directly through as we invest in those markets on a daily basis to the yields of the fund and thus the waivers.
Daniel Fannon: Okay, that's helpful. And then just a follow-up on expenses and comp. So I think in the quarter you mentioned that the carried interest and the flow through, so we have 7 million of comp that's non-recurring plus another 4 for seasonal. So anything else just in the expenses that we think about that you reported that could be one off in nature or non-recurring, and then also if there is more carried interest as we think about it going forward, is the payout ratio going to be as high as what we saw this quarter based on some of those legacy funds?
Thomas R. Donahue: So the first question Dan, the 7 million we can't call it one time. I call it more of a catch-up because as we get more carried interest, part of your second question it will flow through there again. But this was since March first number so that's why it was much bigger and there was a decent amount of carried interest in there, obviously. So, I'm not allowed to call it one time, but I do call it catch-up. Other things in the expenses. So with waivers if they show up as forecasted and rates don't rise faster than we're expecting, I wouldn't see comp increasing or even decreasing. It is the same thing with distribution fees and the other items traveling related is that going to creep up higher because we're able to travel more because of the pandemic. I hope it does and expect it to. And advertising and promotional while we kind of look at that over a whole year period, that the Q1 number was probably like compared to what we're going to do the rest of the three quarters. Forecasting, your second question, forecasting, carry, and what's going to happen and you calculating trying to figure out some percentage of that versus anything, we're just not going to be able to help you out with that at all. I don't think Saker is going to be able to add anything in there to say, hey, the HGPE carry and what's it going to be in percentage of anything Saker, I don't know if you can add anything to that or not.
Saker Nusseibeh: No, nothing. You are correct about it. As I always say, we have a profile for both carry and performance fees, and you can see them historically because we've declared them historically both and the numbers that we declare here and also in the numbers we find in London where you cannot predict them, but we do know that they consistently come through over time. That's the best that I can say.
Daniel Fannon: But just to clarify, it was 9.4 million in carried interest revenue and 7 million of compensation that was associated with that. And that's the same type of ratio we should think about for carried interest on a go-forward basis.
Thomas R. Donahue: Yeah, the 9. -- there was a couple million basically of performance fees and 7 million of carried interest. That's the split up, which I guess I didn't give that.
Daniel Fannon: So all carried interest goes into comp so then… 
Thomas R. Donahue: Yeah, the carried interest for this quarter was lower than it's been in other quarters without the 7 million catch up. So the 7 million catch up and the 7 million comp offset, but that doesn't mean that going forward, you're going to see a one-to-one offset.
Daniel Fannon: Okay. Thank you. 
Operator: Our next question comes from the line of Bill Katz with Citigroup. You may proceed with your question.
William Katz: Okay, thanks. Just coming back to the money markets a little bit, maybe a bigger picture question. Is there any thoughts of repricing your platform to move away from the sensitivity to such low interest rates or is there anything you could do on the distribution side to reduce the reliance on the distribution to carry their weight, just trying to understand how to sort of soften some of this acute cyclicality on the business model?
Thomas R. Donahue: It would be a great idea and if we had pricing power we would use it. We have discovered that there are many, many competitors who make those kinds of structural changes quite challenging and difficult. And that's just the way we've experienced it. We are now in our fifth decade of dealing with this conundrum and if you may recall, we started off with back in your childhood, a 100 basis point money market fund. And we're a far cry from there. And we have looked at other kinds of models but we really aren't able to figure out one that avoids the marketplace. Remember what this fund is, is an actual marketplace rate, not an administered rate. And so it is subject to these vagaries. We still like the business because over time it adds a beautiful balanced ballast to the enterprise even though we have to suffer through these times with these big waivers.
William Katz: Okay. The second question, just going back to capacity for a moment. So you mentioned -- you mentioned the sort of the emerging market portfolio. Is there anything else on the horizon in the equity side or even the fixed income side that we should be anticipating as potential close that could further impact the net sale opportunity? 
Thomas R. Donahue: No. 
William Katz: Okay. Thank you. 
Operator: Our next question comes from the line of Mike Carrier with Bank of America. You may proceed with your questions. 
Michael Carrier: Good morning and thanks for taking question. Debbie, just on the money fund side, the changing rates and waivers over the past few quarters has been fairly significant. But given the economic growth that we're seeing, it seems like the rebound could be equally like a swift, so just want to get your view on what do you think could get rates and waivers back to the levels that we just saw in 3Q or 4Q?
Deborah Cunningham: So I do think what I mentioned earlier, the technical adjustments that we hope are coming in the second quarter from the Fed with regard to the RRP and IOER rates should be extremely helpful. Then basically the -- another kind of technical factor is the debt ceiling issues that start to impact in the beginning of the third quarter. Once that -- and that has supply issues associated with it because the treasury has to get its cash balance down under a certain number. So once those issues are past us, we believe that the money market yield curves which on the prime side, like the busy curve, which I'll note I'm using that instead of live or now, it's Bloomberg short term bank yield index, a new gauge that we think is helpful on the prime side, that curve is already backed up maybe one to three basis points since the beginning of the year. Really starting in the fourth quarter of last year, but the bill curve where the majority of our assets lie on, from a government fund standpoint has actually declined and gotten less steep by anywhere from one to three basis points. So we think we start in the third quarter to have the bill curve start to normalize a little bit more. Also at that point, it's our expectation that because of the economic recovery, we should be seeing an improvement in where we see our current standard inflation measures. And the Fed will need to begin to address those -- that issue, the target rate. And we think that they start that process by beginning to announce cutbacks in their bond buying late in the second half of 2021, which then sets the stage for further economic recovery, further inflationary issues in 2022 at which point we think the Fed will react by increasing by 25 basis points. So the point in that -- the point in that lengthier answer to your question, Mike, is that even without the Fed adjusting the target Fed funds rate, we think that there is a huge benefit with some of the technical adjustments that they can and will likely do that will improve the products from a yield -- gross yield stand point, which obviously helps waivers. But the true tech -- but the true target adjustments don't come until sometime in 2022 later in the year, more than likely.
Michael Carrier: Okay, great, that's helpful. And then, to see the -- ?
J. Christopher Donahue: In terms of the distribution, we're seeing a lot of good things, singles and doubles occurring around the around the distribution. I will just give you a few without the names of the distributors. But one just added a preference for high yield bonds, that helps us. We added another one except our responsible investing institute training program. The micro shorts, new products are being added. The engagement fund is now on a number of other lists. ESG has come in to be a big theme in a lot of places. As I mentioned in my remarks, the short term remains strong, ultra-shorts are being well received, and people are looking at floating rate and around the horn. So what you have is a whole array of products. And that's why we keep mentioning 19, 20, 21 different products, whether it's equity or fixed income that have positive flows, because of the breadth of the offerings that we're able to make. Now, if you have specific questions, Ray has a comment. 
Raymond J. Hanley: Well, you mentioned the multi asset and the largest fund we have in that category is our Muni and Stock Advantage Fund and we see a pretty bright outlook for that strategy, given the outlook for tax rates. It's a pretty unique strategy and combining Muni’s and stock exposure. And in the first quarter, it was just about breakeven on net sales, and it's slightly positive here in the first part of April. And for the prior couple of quarters in 2020 we have some outflows in that strategy. So we think there's an improved outlook in the category. 
Michael Carrier: Got it guys, thanks a lot.
Operator: Our next question comes from the line of Robert Lee with KBW. You may proceed with your question.
Robert Lee: Great, thanks. Good morning, everyone. Hope everyone's doing well. Now maybe going back -- great, thanks. Maybe going back to the money fund questions again. Just trying to frame this. So maybe, if we move past Q2 and everything being equal, I know there's a huge number of moving parts but if I think about the guidance you gave for heading into this current quarter, and then rates obviously stayed lower or went lower. But if we got back to kind of a rate environment, say over five basis points, five to 10 basis points, would we'd be looking at fee waivers Q3, Q4 or beyond kind of more similar to where you originally were anticipating for Q1 or maybe the fourth quarter, just to trying to size if rates go up what that gets the stock to?
J. Christopher Donahue: Yeah Rob, So, it's tough. The last time we predicted six months ago or so we thought 2021 was going to be 9999. And, okay, so we have stopped talking about the future like that. We've run models based on Debbie's team's forecast and we don't get to as low as we were before based on their midpoint of their range. We don't get to Q1 and we don’t get to 2020 numbers. That's about as far as you are going to get me to go on that.
Robert Lee: Well, it is always worth a shot. Maybe on the putting back into the minority interest from DT, just kind of curious, a couple questions. Number one, is there an option as part of that arrangement for the existing employees to increase their stake so once the price is agreed upon, that could actually be Hermes employees who take part of it or is it just going to be potentially Federated and how do you kind of price in any kind of way to think about potential financial impact from it or how we should be thinking about going forward?
J. Christopher Donahue: So on the first question, it would be a straight up deal between the pension scheme and Federated Hermes. And the employees have their 10% and would keep their 10% and have arrangements and numbers of years and all sorts of a whole different program. So those two do not intersect. And just as a comment here, recall that when we did the deal, we were perfectly happy to buy all the stock or buy a portion of the stock so long as we bought control. And the reason for that was that we have a very large client who created this whole enterprise. And however they wanted to handle it, is how we wanted to handle it on that subject. So now that they have put in for evaluation, we're happy to go down that road and see what happens. Now, in terms of the valuation and what impact it would have, they own 29.5%. We are on the threshold of acquiring evaluation, therefore, you will not get me to go spot fishing on evaluation. But you are certainly welcome to have a swing at that pitch and if it comes to evaluation we agree to then there's no puts and calls and we just do it. Or maybe they put or maybe we call and maybe it gets delayed a year, and maybe it doesn't. But those are the dynamics. So it's 29.5% of the former Hermes Enterprise that we're talking about. 
Robert Lee: Great, thanks for taking my questions. 
Operator: Our next question comes from the line of John Dunn with Evercore ISI. You may proceed with your question.
John Dunn: Hi good morning. You kind of have been active going back on target M&A. I mean, you just mentioned Horizon. Do you see more opportunities like that and could you maybe give us an update on M&A environment for both money market roll-ups and then for the long term side?
J. Christopher Donahue: So John yeah, thanks. We're are always out there with our team. If you've noticed in the press release, our gentlemen who's out there doing this says we're open, available. This is the Horizon press release. We're open and available and continually looking to help out all the various entities who may decide that it's better for them to do what we call roll up, which is turn their assets over to us and so we continue to have discussions out there. In terms of bigger picture and you see lots of lots of things have happened in the last year and a half in terms of bigger deals and where things fall in, as Chris has mentioned, we see ourselves set up with our Hermes, London business and what we have in the rest of the company as a great growth opportunity. And so we haven't seen that we're playing in those big, big transactions as we still get the look at them, we still get the books, we still get contacted. We haven't had a big level of excitement about moving forward as it stands right now. 
Thomas R. Donahue: If I may comment, we are active in this space, too. If you recall, PNC, you mentioned Horizon. So you should not be surprised that we are still active in this space.
John Dunn: Got you. And then maybe just one more tiny one on the speed of change of fee waivers. It seemed like rates moved Q1 and waivers changed pretty quickly too. How quickly can they turn back down if we get some cooperation from rates and plus there has to be any cycling through of the portfolios, which could take some time?
Deborah Cunningham: Let me answer that, in the context of the RRP rate currently being at zero and a potential five basis point move in that, the largest majority of our 430 billion in assets under management in the liquidity space is in the government product area, roughly two thirds of it. As such, those portfolios generally have about 40% to 60% of their composition of their assets in overnight securities. So, 50% of five basis points gives you two and a half basis points on two thirds of the assets. The other asset classes, the prime products, and the tax free products and then the remaining portion of the government products would be more impacted by what the curve does as opposed to what overnights do, and we think that impact is more along the lines of maybe a basis point or two.
John Dunn: Much appreciated. Thanks very much.
Operator: Our next question comes from the line of Ken Worthington with J.P. Morgan. You may proceed with your question. 
Ken Worthington: Hey, good morning. Thanks for taking my questions. And to follow-up on Rob's I don't think he got this and I sort of missed part of his question. But in terms of Hermes and the put call provisions, how much earnings or how much of your earnings is being generated by Hermes at this point and it just helps us gauge what this deal may be like? And would you be willing to do a dilutive deal if it came to that or is accretion a key metric that you're looking at to execute that transaction?
J. Christopher Donahue: I will answer the second part of the question Ken and Tom will take the first. The second part as regards whether we're willing to do it accretive or dilutive, it doesn't matter if you're inside the structures of the put call arrangement. It will be a price, it will be evaluation, and if it's put we will buy, if it's called they will sell, and if the dilution -- anti-dilution or non-dilution will be a factor in some of that. But if the price comes within the range of the put, then we will buy it no matter what the effect of it is. So this is really governed by the put call deed as they call it over there and it obviously can be adjusted or trumped at any time by a negotiation. Tom? 
Ken Worthington: Got it. Okay. Thank you.
Thomas R. Donahue: On sharing, I will call it, so we have to do everything according to Hoyle from our arrangement with the pension scheme when we purchased the Hermes business, and that is pricing and sharing on distribution that we do here. So we've talked before about the funds that we started here and there's a solid arrangement there for sharing. We've talked before about the funds. I don't think we updated that. Over 100 million of the funds that we started here we've seen some green shoots on institutional starting to arise where our distribution in the U.S. is selling Hermes products. So we're excited about that. But it's nothing big in terms of dollars in evaluation yet. And then the iOS business that's a whole Hermes business. While Chris mentioned the number of people and the growth there, that's all contained in Hermes. So it's not a whole lot of what we're generating as it stands and we have a lot of efforts and energy and a whole business development committee expecting that to grow into the future and starting to see it work.
Ken Worthington: Okay, great. Thank you very much there. And then the money fund business, I believe you guys just said in the past that even in the worst of the financial crisis, that the money market fund business was a profitable business for you, given that the yield environment is sort of worse now than it had been and even if it's just temporary, is the money market fund business still a positive earning enterprise for you guys or are yields terrible enough at this point where it's, more like breakeven or even generating losses.
Thomas R. Donahue: It is not generating losses, it is still a profitable good thing to be doing.
Ken Worthington: Okay. Okay. Sorry, I'm going to be greedy and do one more, given that your competition in money market funds is probably under huge pressure, is there more opportunity to do these money market fund blocks or outright deals or is the business just sort of consolidated enough where that opportunity is not really much of an opportunity anymore?
Thomas R. Donahue: Yes, there will be more of those come along Ken. Each step in this process from prior to the big recession of 2008-2009 as I mentioned before, there were over 200 people doing money market funds. Now, if you look at the list it's 50 or so. And a lot of those are just in it, because they totally control the money in and out. And as time evolves and as these things occur, people decide they're going to throw in the towel. And then we work out a deal not unlike we worked our with PNC that works out for everybody. And as I always like to say we are a warm and loving home for any money market fund assets.
Ken Worthington: Great. Okay. Thank you very much.
Operator: Our last question comes from one of Kenneth Lee with RBC, you may proceed with your questions. 
Kenneth Lee: Hi, thanks for taking my question. Just one on the money market fund fee waivers. I think in the in the prepared remarks you mentioned something about not obtaining cost sharing for certain distribution partners. Just wondering if you could clarify that and wondering if you could just talk about expectations for cost sharing going forward? Thanks.
J. Christopher Donahue: Sure Ken. So generally as rates go down in this period, and in the last period, we have shared pro rata with our distribution partners. And as rates -- and then we get part of our administrative fee basically. And so it's fees in total and then when we get down to where there's no more sharing, i.e. the distribution partner is at receiving zero, there's no more sharing that they can do and we take the brunt of the hit on the decrease in waivers, or an increase in waivers decrease in rates. And that's why you saw in the -- late in the first quarter, where that switched over to rates were low enough where the distribution couldn't go. The distribution savings couldn't go -- expense couldn't go any lower and it hit all to us.
Kenneth Lee: Got you, got you. That's very helpful. And just one follow up if I may, and this is just the HGPE carried interest. And perhaps this will just help me understand and make sure I got all the nuances. But just wanted to see if the carried interest or level of carried interest is that going to be dependent upon portfolio realizations going forward within HGPE or are there other nuances that we should be aware of? Thanks. 
Thomas R. Donahue: It’s in HGPE carried interest. That's mainly where it shows up.
Kenneth Lee: Okay. But is it going to be dependent on portfolio monetization or any other or is it really just based…? 
J. Christopher Donahue: So the carried interest if I may, so the carried interest specifically in GPE is realized there are several funds. When these funds -- the assets of the holes come to maturity and they sell them off, which is the normal course of action within the carried interest, which is purely within the private equity of GPE. Performance fees is in other private market assets and go on a slightly different cycle from that, but you are correct as far as the private equity funds are concerned. Yes.
Kenneth Lee: Got you, very helpful. Thank you very much.
Operator: Ladies and gentlemen, we have finished our question-and-answer session. I would like to turn this call back over to Mr. Ray Hanley for closing remarks.
Raymond J. Hanley: That concludes our call and we thank you for joining us today.
Operator: Thank you for joining us today. This concludes today's conference. You may disconnect your lines at this time.